Cindy Cheung: Good afternoon, ladies and gentlemen. Welcome to Swire Pacific 2025 Interim Results Analyst Briefing. Joining us today at the briefing are Mr. Guy Bradley, Chairman of Swire Pacific; Mr. Martin Murray, Finance Director of Swire Pacific; and Ms. Karen So, Chief Executive Officer of Swire Coca-Cola. Before we take a detailed look at our interim results for 2025, we would love to share with you a short video highlighting the key developments and achievements of Swire Pacific in the first half of 2025. Please enjoy the video. [Presentation]
Cindy Cheung: We hope you enjoyed the video. May we now invite Guy, Martin and Karen to take us through the details of the interim results of 2025.
Guy Martin Coutts Bradley: Good evening, and thank you for joining us. I'll start with the group corporate overview. And I would say at the strategic level, number one, we have very strong underlying profit from the Property division boosted, as you heard earlier, by the excellent disposal of the retail at BTC in Miami and a couple of the other Miami adjacency pieces of land, which we've also managed to dispose. So that's really helped the underlying profit on Property. That puts the Property division 67% committed down their plan of investing HKD 100 billion over the next 10 years. We're only 3 years into that. So that's a very sort of accelerated performance, I think, in terms of commitment. And I would say that they've got 7 major projects under construction at this point in the Chinese Mainland. I don't think we've ever had as many projects under construction, reflecting that investment and commitment. So there's a lot of work going on on the Property side. The other major milestone strategically, I think, 4 properties in the first half was the successful sale of the first residences that we've built in the Chinese Mainland and that's in Lujiazui Taikoo Yuan, which is on the bank of the river in Shanghai, great product. We've sold 2 batches already, and they're nearly completely sold out. They were sold out within the hour for each batch. So had a great response there. But it's the first time Swire Properties has put its brand on the residential sector in the Chinese Mainland. So quite a landmark milestone there for Swire Properties. In Beverages, I would call it, a solid performance. There have been challenges in Southeast Asia, no doubt, and I'll come on to some of those later. But the investment that we're making in the Beverage business continues, and we're currently have 4 new production plants under construction in the Chinese Mainland and the new plant in Vietnam was inaugurated in July this year. So we continue to invest in production capacity to cater for the growth in the region. On Aviation, the sector continues to perform well for us, as you heard yesterday, and we're very happy that Cathay and HAECO look like having another strong year. Financially, both underlying profit and recurring underlying profit are basically close to prior year, generating $5.5 billion and $4.7 billion profit, respectively. So good set of numbers, I think, given the climate that we're operating in. We've decided to pay a 4% increase in ordinary dividend per A Share to HKD 130. Martin can cover that in a bit more detail in a second. And then in terms of the business level of the company, Property, I'd say the retail market is performing well in the Chinese Mainland, which somewhat offsets the softness that we're all very familiar with in Hong Kong office, and those are our 2 main contributors in the Property business. So one is going reasonably well, one is still soft. EBITDA growth in the Chinese Mainland beverages has been positive, and that has offset some of the challenges in Southeast Asia, which I mentioned earlier. Those challenges range from the relocation of the Ho Chi Minh City plant, the depreciation of the Vietnam Dong and the competitive environment in Thailand, which has been partly offset by a higher contribution from the increased shareholding that we've taken in Thailand and Laos. Aviation, as I said, continues to perform well based on strong capacity growth and increased demand from maintenance on the HAECO side, with HAECO achieving a 40% growth in recurring profit in the first half. So good performance there by HAECO. Martin?
Martin James Murray: Thank you, Chairman. Good evening. As the Chairman said, we believe these are very solid results in this time of uncertainty. And so we'll start with the underlying profit of HKD 5.5 billion and recurring underlying profit of HKD 4.7 billion being pretty similar to the prior year. Once you adjust for the change in value of the investment properties, the statutory profit is down at HKD 815 million. Very strong cash generated from operations, a lot better results from HAECO, and that includes the land sale of USD 211 billion in the Brickell Key land, which we'll talk about in later slides. And as the Chairman mentioned, we have a progressive dividend policy. So we continue to pay that at HKD 1.30 per share. In terms of the underlying profit between the underlying profit and the recurring underlying profit, the nonrecurring items are very similar to last year. In 2025, it's basically all made up of the Brick Key retail and car park sale, that 833 million nonrecurring and you see on the left-hand side. The prior year, you had the Taikoo Shing car parks and the other 2 were noncore assets relating to Cadeler, the disposal of Cadeler and a fair value gain in Cadeler. This then is a good description of describing our underlying profit. So you can see clearly there the strong underlying profit in Swire Properties, the good results from aviation, the solid results from Beverages despite the challenges that the Chairman mentioned in Southeast Asia. And you'll see the head office, the others there is a little bit higher interest rates, but also the nonrecurring items in Cadeler last year that we just mentioned. In terms of our recurring profit on the right-hand side there, again, it's the same. It highlights there on the right-hand side, the strong results from -- on the recurring basis of the HAECO Group and in Cathay Pacific and Properties and Beverages being marginally down. Balance sheet remains strong, gearing at 23% weighted average cost of debt 3.7%, fixed to floating 66% net debt of HKD 71.3 billion. And again, very high liquidity of HKD 64 billion and a solid maturity profile. In terms of sustainability, we very much focus on carbon waste, water, people and communities. We're very proud of all of our core divisions in terms of how they lead in sustainability. As you saw on the video there, Swire Properties up at 60% of renewable energy and Swire Beverages up 55%. And that makes up 88% of our Scope 1 and 2, those 2 divisions. And so we're well on track for our 2030 commitments. Thank you.
Guy Martin Coutts Bradley: Just going into more detail on the business review. Property, the first half was very much one of the progress we made in capital recycling and some various upgrades that we're making to the existing portfolio. I mentioned the sales of Taikoo Yuan residences. And of course, we like that because you get the cash in early and you're able to turn the capital around relatively quickly on the trading side. So that's gone very well so far. And you heard Tim say that we are hoping to launch the third batch later in the year. The big story on capital recycling, though has been in Miami. Brickell City Center land land was sold for USD 211 million. That was completed in May. There was a small area of land called North Square, which we just completed the sale in July for USD 45 million. And then there was the big deal with Simon Properties where we disposed of the Brickell City Centre retail and the car parking spaces for approximately USD 550 million. So all in all, good disposal track record for this year. Which will allow us to put some of those funds into the big project in Miami, which is the remaining residential projects on Brickell Key, where we're selling the residences and then building a new Mandarin Oriental hotel in a 2-tower developments, and we've already commenced presales on that. So things are going well over there. In terms of the numbers, the underlying profit grew 15%, reflecting those higher disposal gains in the U.S.A. and that was partly offset by a reduction in rental income from Hong Kong office portfolios, which have been soft, as we said and high losses from property trading. On a recurring basis, I think we're down 4%. This is a now familiar chart, I think, having used this several times already. It basically tracks our progress against the HKD 100 billion investment plan. And there you can see, we're now 67% committed. Most of that commitment of the HKD 50 billion is in the Chinese mainland, we're at [ $46 ] million. We're about half committed on our trading in Southeast Asia targets and about 1/3 in Hong Kong. In terms of upcoming projects, we've got a strong pipeline and a balanced pipeline of developments across markets. This chart just shows -- you can see there's plenty going on in the Chinese Mainland in 2026 and 2027. I've referred to those projects under construction. I mean Hong Kong, 3 residential projects, the Headland residences this year, next year, there will be projects residentially in Wan Chai. And then we have some residential and office developments coming online in 2028 in Quarry Bay. And in Southeast Asia, we're still selling our luxury project down in South Jakarta, called Savyavasa, whilst the exciting new project in Bangkok should be ready in 2028, and there's another project or 2 under discussion in Ho Chi Minh City. So lots going on, on the trading side in Southeast Asia. The Hong Kong portfolio, I mean we think that the office stock that we have is very well positioned to benefit from a recovery in demand when that demand does start to recover. We're benefiting at the moment from a flight to quality, meaning that in a sort of semi-soft environment at the moment, our occupancy levels are above market, and we're sitting at 91% across Pacific Place and Taikoo Place. On the retail side, our occupancy levels are at 100%, and we're starting to see a small pickup in the results in the last couple of months on retail, particularly at Pacific Place. In the Chinese Mainland, we've had a very healthy CAGR of 11% in terms of attributable gross rental income in the middle chart there between 2016 and 2020. The right-hand chart shows that we expect to double our GFA in the Chinese Mainland by -- in the next -- well, between 2020 and 2030, I would say. And very significantly for the first time. On the left-hand side, you can see that the contribution of gross rental income from Chinese Mainland retail has just overtaken Hong Kong office, which for a long, long time was our biggest contributor. Karen?
Karen So: Thank you, Chairman. So on to the Swire Coca-Cola business in Greater China, we announced in 2023, that's why Coca-Cola's total investment in the Chinese Mainland would exceed RMB 12 billion over the next decade. The RMB 12 billion investment plan included new production facility in Zengzhou , Shanghai, Guangzhou. And more recently, we announced a new production plant to be built in Hainan. So our new production facility in Zhengzhou and Shanghai are expected to commence operation gradually in the phase from quarter 4 this year, while the facility in Guangzhou is set to be operational by quarter 2 of next year. In June this year, we announced plan to establish a beverage production base in HAECO high-tech industrial development zone with the construction schedule to be beginning within this year. The project aims to expand our production capacity and efficiency and meeting the consumer demand in Hainan. In terms of the financial results, revenue from Chinese Mainland increased by 3% in local currency, with EBITDA margin improving to 12.8%. So over to the Southeast Asia side, in July this year, we inaugurated a new USD 136 million flagship manufacturing plant in Vietnam, Da Nang province, which is 1.5 hours closed next to Ho Chi Minh City. This is the largest of our 3 production sites in Vietnam. And the facility is the first food and beverages plant in Vietnam to achieve lead gold green building certificate, reflecting our commitment to innovation and sustainability. And this investment will reinforce our long-term commitment to Vietnam, supporting our sustainable growth, our generating significant employment and is expected to help our business to continue to grow the market share in the country. So Swire Coca-Cola recorded an EBITDA of HKD 2.8 billion in the first half of 2025. The increase is mainly due to the higher contribution from the franchise business in Thailand and Laos, with our increase in attributable interest since October last year. The result in Chinese Mainland remained resilient with our EBITDA increasing by 6%, contributed by a 3% revenue growth despite operating in an environment where consumer demand was subdued. In Vietnam and Cambodia, the EBITDA decreased by 28%, while revenue declined underlying results were adversely impacted by the depreciation of the Vietnamese dong Reduction of our effective shareholding in the Cambodia franchise and also the expenses on the relocation of the Ho Chi Minh plant to the new Da Nang plant that we just inaugurated. In Thailand and Laos, EBITDA increased with our increase in attributable profit interest. And the business were, however, adversely affected by economic uncertainty and the very intense competition and the implementation of the Phase 4 of the Sugar Tax Legislation. Recurring attributable profit is similar to last year. Chinese Mainland grew by 8%, with result for the first half year -- from first half years of 2025 was affected by softer consumer momentum and also incremental expenses on the capacity enhancement project in Vietnam and Taiwan. On the category mix, Sparkling remains our largest driver among our portfolio at 73%. Juice comes next at 12%. Swire Coca-Cola is committed to continue growing our sparkling business while also offering a future-oriented portfolio of market-leading brands in other key categories. On the revenue resources, our revenue source mainly comes from Chinese Mainland, followed by Thailand and Laos. And you will see on the financial data at the bottom right-hand side, revenue increased by 25% with full period contribution from Thailand and Laos. EBITDA margin remained almost flat at 12.8%. As mentioned earlier, overall EBITDA margin maintained almost flat at 12.8%, with Greater China market remained resilient, while Southeast Asia market faced challenges. In terms of revenue by region, there were revenue growth in Chinese Mainland and Hong Kong. However, revenue declined slightly in Taiwan in local currency and there was a drop in Vietnam and Cambodia due to very difficult market situation and intense competition. EBITDA margin continued to improve for our Chinese Mainland business. However, Taiwan and Vietnam were particularly impacted by the additional operating costs incurred for the Taiwan site redevelopment project and also the relocation of our Ho Chi Minh City plant to the new site. So with that, I will hand it over back to the Chairman.
Martin James Murray: Thank you. Moving to Aviation. You'll see the numbers on the right-hand side there. So -- we said that the Aviation division continues to perform well. The recurring profit of HAECO up 40% on that basis. And then the Cathay Pacific Airways Limited, which is a big number there, is up 1%, which is the continued strong performance of the Cathay Pacific over the last 3 years. So you can see there that Cathy yesterday at their announcement, they described their performance is solid. So driven by increase in passenger volumes, a very consistent cargo performance and lower fuel price. You'll see the liquidity there, HKD 11.2 billion in operating cash flow maintains they're gearing at healthy levels of [ 0.87 ]. Covenants are up at [ 2 ], so a healthier in that sense. They continue to add more passenger flights. They've got 87 new planes in order and they announced yesterday, the 14 new Boeing 777-9s, the new destinations were on the slide. As they've grown their ASK, so passenger revenue was up 14%, ASK up 26% and yield was down 12%. So with more ASK putting pressure on the yield. And with cargo, the cargo capacity grew, particularly on the passenger bellies. So the 50% of the cargo is carried in the passenger belly, so the cargo was up 8.1% and yields marginally down by 3%. The outlook, again, the demand in the 3 really strong years, the second half. We expect it to continue to be relatively strong. The passenger demand is robust. Again, the cargo side slightly uncertain. There will be yields continue to normalize, but there is still capacity growing in that sense. So the outlook for the second half will be pretty solid. At HAECO, they had a strong year, a lot more base maintenance man hours and a strong demand for engine overhaul at Hazel and HAECO engine services in German. So the main business is performing very well. And again, we expect that to continue into the second half. Finally, we just touch on health care. Again, this is, as I mentioned at the press briefing, this is very early stages of our development. There's 2 of those investments that we actually manage, which is DeltaHealth. That -- the exciting news with Delta Health, this is one where we now manage. So we're learning a lot through that. becoming a Class C standard cardiovascular specialty hospital is a huge step forward. Our cardiology lags our cardiac operations, which is -- should be in the reverse side. And so being Class C allows much more patient referrals, BMI reimbursements and it really enhances the reputation of the hospital. So we expect this to be a significant change in the fortunes of DeltaHealth. And our business in Indonesia continues to be profitable. And we've just opened the Bali International Hospital. If you want to do your health check holiday in Bali, then it's newly opened. I pass back to you, Chairman, for the outlook.
Guy Martin Coutts Bradley: Thank you. Finally, in terms of outlook, we expect the uncertainty across our core markets that we've mentioned for the first half to will most likely continue in the second. In terms of Hong Kong office, you'll continue to see this flat quality trend. And we hope and expect that the retail performance will remain relatively resilient in the second half. The retail market is expected to gradually gain pace in the Chinese Mainland, but office occupancy will be impacted by oversupply in that market. On the Beverage side, again, there'll be some subdued domestic spending, I think, in the Chinese Mainland, which will prevent -- present some challenges to revenue growth and deteriorating economic conditions, reduced tourism activity and the implementation of a sugar tax are expected to adversely affect the Thailand business in the second half. On Aviation, we think travel demand will remain robust while the market environment for cargo remains somewhat uncertain given the current sort of tariff issues out there. On HAECO, I expect a stable demand for base maintenance and continuing growth of line maintenance work and stable demand for engine overhaul services. So they should end up having a fairly good year. And with that, we can take questions.
Cindy Cheung: [Operator Instructions]
Unidentified Analyst: My name is Fan from Bank of America. I have 2 questions, if I may. First one on the Beverage. I saw that in the first half, we still achieved some ASP growth in Mainland China, which is quite impressive given the -- quite impressive given the pretty competitive environment and somewhat deflationary market. So can you elaborate more what actually you have done? But in the outlook slide, you mentioned you are still quite conservative about the outlook in China. So can I get more , I mean direction, do you expect ASP to still achieve positive growth for the rest of the year? Or are you expecting the trend to deteriorate? And also secondly, on the Southeast Asia, I understand that it's pretty challenging. So when should we expect a turnaround? And my second question is on the share buyback. If you can provide more color about whether we will resume that.
Karen So: Okay. Thank you for the question. So our business in Chinese Mainland remains strong. We grew our revenue by 3% and profit by 8%. This is largely due to our initiative in pricing activities, although the pace of our pricing activity is slower than what we want to be, but we continue our effort in pricing. So in the first half, we achieved a positive Sparkling [indiscernible] Rate growth by 2.7%, and our Juice category increased by 1.5%. I think this is the main driver in driving our revenue and also our profit growth. So in collaboration with the Coca-Cola Company, we maintain a very healthy and balanced product portfolio. And at the same time, we remain our organization to be very agile in order to capture the new consumer trend and further diversifying our package by channel and continue to invest the cold drink equipment to capture the consumer consumption. I think these are all the very important long-term strategic initiative to help us to continue to grow in a market environment that consumer demand is subdued and we'll continue that effort in the second half of the year.
Martin James Murray: Yes. On the share buyback program, we completed our second program, HKD 6 billion, of which HKD 5.8 billion was exercised. So we got to get it right on that sense. It's always seen as a very short-term solution in that business. We've always stressed that in terms of priority, we always look at our long-term strategic investments first. We're much more focused on the progressive dividend. But again, the share buyback is an option to us that we consider. When we consider it, we look at the current share price, the gearing, the credit metrics, the -- and if we're holding any price-sensitive information, we can't exercise one too. So it's something that we will follow, we've let a lot in the last 2 programs. And so it's something that's still there in part of our armory of what we want to do. But again, we in terms of the shareholding return, very much focus on the progressive dividend.
Cindy Cheung: Yes, gentlemen in front in the red tie.
John Lam: This is John Lam from UBS. I have 2 questions. The first one probably is for Guy, more for strategic type of corrections. So how do we look at Swire Pacific if we think about in the next, let's say, 3 to 5 years, is there any metric that we focus? I see that actually in department slide, there is an appendix regarding ROE. Should we also think about to improve the ROE from this perspective? If yes, anything that we could do to improve the the ROE here? And then the second one is about-- apart the current portfolio. I'm not sure if you're happy with the current business portfolio, any new business that you're looking for, for the investment?
Guy Martin Coutts Bradley: Well, yes, in the next 3 to 5 years, we -- the core divisions that we have, have all got a very exciting pipeline program of investments, most of which have been disclosed. But the pipeline is just that. We also have investments that haven't yet being disclosed that we're working on, but perhaps because the deals haven't been consummated. But certainly in terms -- in terms of Aviation, you've seen Cathay continue to place very heavy investments in fleet growth. And on the side, again, you've heard the tremendous pipeline growth that we're putting Swire Properties through and all the construction that's going on in the Chinese Mainland and we expect that to continue and new projects will be provide land bank for the future growth. So there's a good story going on in the Property side. And again, we're about to release trading projects onto the market over the next 3 to 5 years. So there will be some trading income coming through there. And then in the health care space, it's an early start for us. We've set ourselves a 10-year vision and we've invested $3 billion so far of the, $10 billion, $20 billion that we've sort of allocated loosely towards this. And the reason we want to start slow is that we have a learning curve here, and we've made some good investments so far, I think, in Indonesia, which is a profitable investment, which will we're very excited about. And in this DeltaHealth Hospital in Shanghai, we're focused very much on those 2 investments at this point before we go any further. We feel that there are opportunities to grow in -- especially in the Chinese Mainland, but the current valuations are too high, and so we're happy to wait for valuations to look a bit more realistic and in the meantime, focus on getting Delta and the Indonesian business into shape.
Cindy Cheung: Thank you. Any next question? Wonderful. Yes, that's the wrap. Thank you so much.
Guy Martin Coutts Bradley: Thank you.
Cindy Cheung: Thank you for attending, and have a great evening.